Operator: Good morning, ladies and gentlemen, and thank you for standing by. Welcome to today's Ruth's Hospitality Group First Quarter 2018 Earnings Conference Call. At this time, all participants are in listen-only mode. Following the formal remarks, we will conduct a question-and-answer session. Instructions will be provided at that time for you to queue up for questions. As a reminder, today's conference is being recorded. I would now like to turn the conference over to Mark Taylor, Vice President in Financial Planning and Analysis. Please go ahead, sir.
Mark Taylor: Thank you, Sergey, and good morning, everyone. Joining me on the call today are Michael O'Donnell, Chairman and Chief Executive Officer; Arne Haak, Executive Vice President and Chief Financial Officer; and Cheryl Henry, President and Chief Operating Officer. Before we begin, I'd like to remind you that part of our discussion today will include forward-looking statements. These statements are not guarantees of our future performance, and therefore, undue reliance should not be placed upon them. We would like to refer you to the Investor Relations section of our website at rhgi.com as well as the SEC's website at sec.gov for copies of today's earnings press release and our recent filings with the SEC for a more detailed discussion of the risks that could impact our future operating and financial results. During this call, we will refer to adjusted earnings per share. This non-GAAP measurement was calculated by excluding certain items as well as losses from discontinued operations. We believe that this measure represents a useful internal measure of performance. You can find a reconciliation of adjusted earnings per share in our press release for today's call. I would now like to turn the call over to our Chairman and CEO, Mike O'Donnell.
Michael O'Donnell: Thank you, Mark. And thank you all for joining us on the call this morning. We are pleased with our first quarter results, provided a solid start to 2018. Highlights include: total revenue growth up 10%, which included comparable restaurant sales, which were up 1.1%; net income growth of 24%; and non-GAAP diluted earnings per share growth of 29%. Our revenue growth in the quarter was due to contributions by all our restaurants. During the quarter, we are very pleased with the performance of our restaurants, at our comp and non-comp restaurants. Non-comp that we define - we have four non-comp restaurants as of last year, which we define as not yet open 18 months, and two management restaurants, all are meeting or exceeding or our expectations, and of course, the 6 Hawaiian restaurants, which we acquired in December. We are most pleased with their performance, which delivered year-over-year growth in both sales and profits in Q1. At this point, we remain on track and continue to work towards the complete integration of the back-of-the-house functions for these restaurants. We expect to have that done later this summer. Operationally however, we inherited a great team built by Randy Schoch, our franchisee, operating his Desert Island Restaurants. And we thank Randy and their team for their contributions. Our comparable restaurants also performed very well during the quarter, driving sales growth for a number of areas. Special occasion business, which again performed particularly well, both Valentine's Day and Easter once again showed year-over-year growth. Followed by focus on Sizzle, Swizzle, Swirl; private dining; and significant - and wine - and at the wine dinner that we had during the first quarter, along with individual store initiatives. We continue to rely on the excellent execution of our teams in the field. Our franchise partners, who are the heart and soul of brand, also had a good quarter, with improving comparable sales trends throughout the quarter. While the sales trends in our international markets were not as strong as those in the U.S. our partners continued to deliver a consistently great guest experience and are completely committed to Ruth's excellence. As we have talked about many times, the Ruth's Chris Steak House experience is the foundation of our brand and is responsible for our consistent results over the years. The consistency of our operations coupled with our strong and flexible balance sheet enables us to execute our total return strategy to create long-term shareholder value. Successful execution of this strategy is accomplished in three ways: investing in our core business; growing in a disciplined fashion and returning capital to our shareholders; our first priority is to invest in our core business to help protect the brand and evolve with today's consumer. We continued our Ruth's 2.0 restaurant re-model program. This initiative enhances our guest experience and expands our operating capabilities. We currently expect to complete 7 to 8 remodels in 2018, which means we will have done 21 of the 77 restaurants that we have in the system. In addition, we were investing 20% to 30% of our 2018 tax savings into our core business brand, sales driving and people initiatives. The second component of our total return strategy is disciplined growth. We are actively working on sites that meet our investment criteria for development. As previously announced, we expect to open a new company-owned location in Jersey City, New Jersey in the third quarter of this year. Additionally, we recently announced an agreement to operate a new restaurant in Reno, Nevada in partnership with Eldorado Resorts. This will be our third casino location, that will operate under a management agreement, similar to our restaurants in Tulsa, Oklahoma and Cherokee, North Carolina. Furthermore, we are pleased to announce the signing of a new lease for our company-owned restaurant in Paramus, New Jersey, which we expect to open in the first quarter of 2019. Our franchise partners also continue to support and invest in their restaurants and we expect to open two locations in 2018, one in Fort Wayne, Indiana, this coming Monday, and one in Markham, Ontario during the fourth quarter. The last component of our total return strategy is returning capital to our shareholders. We remain committed to being leaders in the fine dining steakhouse category and our strong brand of business model has allowed us to pay down debt, pay an increasing dividend, buyback shares. And we took all returning excess capital to shareholders, while continuing to grow the core of our business. I am pleased to report that our board of directors recently approved the payment of a quarterly cash dividend of $0.11 to shareholders, a 22% increase over the quarterly dividend paid in May of 2017. Since the beginning of 2014 we returned over $140 million to our shareholders in the form of dividend repayments and share repurchases, and we continue to believe that our total return strategy is the best way to drive long term shareholder value. In summary, we are very pleased with our first quarter results with the progress we have made integrating our Hawaiian restaurants into our company-operated system. We will continue to be singularly focused on operational excellence, which is the driving force of our brand and is the foundation for ability to create value for our stakeholders. I'll now turn the call over to Arne, who will provide more detail on the first quarter results.
Arne Haak: Thank you, Mike. For the first quarter ended April 1, 2018, we reported net income of $13.6 million, or $0.45 per diluted share, compared to net income of $11 million, or $0.35 per diluted share during the first quarter of 2018. Net income in the first quarter of 2018 included $400,000 in income tax benefit, while net income in the first quarter of 2017 included a $200,000 income tax benefit, both of which were related to the impact of discrete income tax items. Net income in the first quarter of 2018 also included $500,000 in deal-related expenses associated with the acquisition of our Hawaiian franchisee. Excluding these one-time items, as well as the results from discontinued operations, our non-GAAP diluted earnings per common share were $0.45, up 29% compared to $0.35 in the first quarter of last year. Total company-owned restaurant sales for the first quarter were $110.4 million, an increase of 11% over last year. The increase was driven by the contribution from our new restaurants, including those acquired in Hawaii, partially offset by 1.1% decline in comparable restaurant sales on a fiscal year basis. Our fiscal quarter began one week later in 2018, and as a result, we faced over $3 million in revenue headwinds from the shift of Christmas and New Year's Eve holiday into the fourth quarter of 2017. In the first quarter, we did benefit from the shift of Easter holiday from the second quarter last year to the first quarter this year, but this was not enough to offset the loss of Christmas and New Year's Eve sales. As a result of the calendar shift, we will focus our revenue commentary on calendar comparable sales, we believe that the calendar based comparison is more reflected of the overall health of the business. On a calendar basis, comparable restaurant sales in the quarter were positive 1.1%, which included approximately a 70 basis point benefit from the shift of Easter. Also on a calendar basis, our traffic as measured by entrees was up 0.1% in the first quarter, and our average check was up 1% year-over-year. We are particularly pleased that our traffic growth continues to outpace the Black Box fine dining traffic comparison. Fiscal average weekly sales for company-owned restaurants were $110.3 thousand in the first quarter, down 0.8% from the first quarter of last year. Total operating weeks for all company-owned restaurants were 1,001, up 11.8% year-over-year from 895 in the first quarter of last year. This included an additional 78 operating weeks in the quarter from the acquisition of our Hawaii franchise restaurants. Franchise income in the first quarter was $4.4 million, flat versus the prior year. The decrease was driven by the loss of franchise income on the acquisition of the Hawaii based restaurants, which was largely offset by the adoption of ASU number 2014-09, generally referred to as the new revenue recognition standard. This standard requires that advertising contributions received from franchised restaurants be recognized as franchise income. In 2017, these contributions were credited against marketing expenses. Total franchise comparable restaurant sales decreased 0.8% year-over-year. Comparable sales in our domestic franchise restaurants were up 0.5% during the quarter, and comparable sales in our international franchise restaurants were down 6.4%, largely driven by softness in our Asian restaurants and certain Canadian locations. Now turning to our costs. Food and beverage costs, as a percentage of restaurant sales decreased 28 basis points year-over-year to 28.5%, this decrease was primarily driven by an increase in average check of 1% offset partially by a 2.4% increase in total beef costs. For the quarter, our restaurant operating expenses as a percentage of restaurant sales increased 113 basis points year-over-year to 46.8%. The increase was driven by an increase in occupancy expenses primarily due to the decreased leverage on fixed costs after losing sales from the 53rd week in 2017. Our G&A expenses, as a percentage of total revenues were flat year-over-year at 7.7%. Marketing and advertising costs, as a percentage of total revenues, increased 67 basis points to 3%, primarily due to the reclassification of certain administrative support costs that have historically been allocated to G&A into the marketing line to better present the investments we make to support marketing and advertising our business. Pre-opening costs were $140,000 compared to $1.2 million in the first quarter of 2017, driven by the timing of new restaurant openings. Income tax expenses declined from $5 million in the first quarter of 2017 to $2.4 million largely as a result of the enactment of the Tax Cuts and Jobs Act, also known as H.R. 1. In addition to returning capital through our quarterly dividend, we also repaid $7 million in debt under our senior credit facility ending the quarter with $43 million in debt outstanding. During the quarter, we did not repurchase any shares under the current share repurchase program. At the end of the first quarter, we have $50.7 million outstanding under our previously announced $60 million share repurchase authorization. Now I'd like to reaffirm our outlook based on current information for the full year of 2018 for some of our key cost metrics. Through this point in the second quarter, our calendar comparable sales are currently running flat to up in the low-single-digits, despite a headwind from the shift of the Easter holiday into the first quarter. The supply of Prime beef continues to remain at historically high levels and beef inflation has continued to moderate. While the current outlook looks favorable, there is still limited visibility on the direction of the retail demand could take this summer. We continue to expect total beef inflation to be in the range of 3% to 5% for the full year. As a result, we expect our cost of goods sold to remain in the range of 29% to 31% of our strong sales. We continue to expect restaurant operating expenses to be between 47% and 49% of restaurant sales. We continue to expect marketing and advertising costs to be between 3.8% and 4%. We expect G&A expenses to remain between $32 million and $34 million. We continue to expect our effective tax rate to be between 19% and 21%. We expect our capital expenditures to remain between $29 million and $31 million, and could grow depending on the timing of additional new unit openings. We continue to expect our fully diluted shares outstanding to be between 30.5 million and 31 million shares, exclusive of any share repurchases, under the company's share repurchase program. With that, I'd now like to turn the call over to Sergey for any questions we might have.
Operator: Thank you, sir. [Operator Instructions] We will now take our first question from Brett Levy of Deutsche Bank. Please go ahead. Your line is open.
Brett Levy: Good morning. Thank you for taking my call. Would you be willing to share a little bit more granularity on what you're seeing across the competitive landscape? Obviously, you've seen an uptick in your results from the 4Q, up from the 1Q into 2Q. Is there anything you're seeing regionally or anything you're seeing on competitive front? Thank you.
Cheryl Henry: Yeah, Brett, hi, it's Cheryl. I think what we've seen over the past year or so as far as - and I don't know specifically if you're speaking around how promotions are working. But we really have stuck to our approach to allow for different opportunities via our menu on our menu from Sizzle, Sizzle, Swirl through classics, as well as the wine dinner. So I don't know that anything has changed in the competitive landscape around other promotions that are in the marketplace and whether that's seasonal or through discounting or gift cards. But I think we've kind of stuck to the approach of offering the opportunities every day on our menu, and haven't really seen the promotional landscape change as far as the competitive set. But, yeah, it certainly - we're still seeing that approach throughout the year.
Brett Levy: Are you seeing anything different by the category cohorts in terms of health of maybe the upper echelon or any pullback in business? And then, I'll turn it over to everyone else. Thank you.
Cheryl Henry: Sure. I think what you're asking is segment-wise are we seeing the - given the different areas of our business, whether it's private dining, à la carte or bar, have we seen anything significant that would make us think there are changes in the marketplace. And I can't say that we have from last quarter to this quarter. I think we are pleased as Mike said with how our special occasions are performing, our wine dinners are performing, our private dining is performing. I haven't seen anything really specific or significant to call out there.
Brett Levy: I'm sorry. I meant by your three baskets, your - just because your business…
Cheryl Henry: Okay. Our second - sure.
Brett Levy: Thank you.
Cheryl Henry: Yeah, and again, so I think the bar remains strong. We've seen growth. I think we've talked about it before, Brett, over the last year or so, Sizzle, Sizzle, Swirl, and really the à la carte dining in our bar and that remains the same. And that private dining has been strong in the quarter. And it remains strong, similar to what we saw on Q4 as well.
Brett Levy: Thank you.
Operator: Thank you. We will now take our next question from Andy Barish of Jefferies. Please go ahead.
Andrew Barish: Yeah, on the bar business, maybe just following up on that, I mean, is that in the primary mix issue with average check not seeing that full 2% price kind of flowing through?
Arne Haak: Hey, Andy, this is Arne. You're absolutely right. We've changed some of the menu items. And it's not - we're pleased with the sales trend in the bar. We are seeing it's a little bit more traffic based, just based on customer preference. There are some higher preferences with new items. Some of the new entrée items versus - and it's shifting out kind of what we previously counted as appetizers. But as we look at these, at the kind of the three segments, this is certainly a just-because kind of category. That feels very good. The business segment feels good. It's also positive and the special occasion remains really strong. I mean, as Mike called out in his comments, both Easter and Valentine's Day, even in the middle of the week for Valentine's Day. I mean, Wednesday is probably the least favorable day for us to have it, had good growth year-over-year. And we're - that remains a really solid part of our business.
Michael O'Donnell: Andy, yeah, this is Mike. I think Cheryl touched on it earlier. We continue to see a moment which is consistent with what we're doing to change the bars as we do remodels. We consistently see a movement from people moving out of à la carte dining traditionally and into the bars. And so, I mean, it's not like it's a rampage. But we are seeing people that once we've - once they've had the experience around dining in the bar, some of the opportunities that Cheryl's put together with Filet & Rosé, and Filet & Cabernet, have pushed people saying to themselves, hey, I really like eating in the bar. So we're literally seeing an increase in bar traffic there as well as a result of that being a slightly different experience and then the à la carte.
Andrew Barish: And is it - and as a follow up to that, is it a different consumer you're seeing or some transition from just dining room into a more casual bar experience. And then, also were you seeing just some of the daily volatility that you mentioned in the fourth quarter or around the stock market and stuff or has that settled down a little bit?
Michael O'Donnell: Yeah, I think to answer your first part, I mean, I think we're seeing some people that - it's an interesting thing, when we started with Sizzle, Sizzle, Swirl the expectation was that that would be an entry point, right? And that we would get younger people, for the most part that would start to see this as an opportunity. We continue to see that. But I think we're then seeing some of those were trading up the trial of bigger entrées and a different experience. And so, I think we're adding incremental folks. I think we do have some trade-in in our just-because crowd. They are often more frequent diners. It often comes single - as singles, and they like the dynamics of the bar. We've basically created a grill-like experience as an asset-light play.
Andrew Barish: Got you. And then daily volatility, and finally for me, Arne, maybe if you're willing to share the Hawaii accretion in the first quarter. And then did that business have any particular impact on line items just given the expense structure is obviously a little different? I mean, did that show up in store operating expense? Or not really a call out there?
Arne Haak: Okay. On the stock market volatility, we talked about that back in kind of February, we saw that seems to have settled down. The market has settled down. And again it has settled down. On the Hawaii accretion, I guess, we're not going to - our plans are not to break out kind of the accretion. It is accretive. It was modestly accretive to earnings in the first quarter, but it is actually running a little bit ahead of kind of what we thought. So we couldn't be more pleased. The team is great to work with. They're really working hard. They've got some big sales numbers that they produce for six restaurants, and they continue to grow their sale. The only place you ever see the effect on kind of the margin percentage is the biggest challenge there is in the restaurant operating expenses, when you look at it you don't see it, but the occupancy as a percentage of sales runs a little bit higher.
Michael O'Donnell: Andy, don't ever ask me this about Hawaii again. However, all our restaurants in Hawaii were positive for the quarter and had increasing profitability.
Andrew Barish: Nice start. Thanks, guys.
Michael O'Donnell: Don't ask me again, Andy, because I don't want to get into, let's talk about Hawaii discussion. But I can tell you, as Arne said, we're off to a very good start, we've got great people over there, and I'd like to congratulate them publically for doing such a great job in a transition period.
Andrew Barish: Thank you.
Operator: We will now take our next question from Brian Vaccaro of Raymond James. Please go ahead.
Brian Vaccaro: Thanks, and good morning. I just wanted to start with the quarter-to-date comments. And Arne, just to confirm, you said, you're flat to slightly positive, including the headwind of that Easter shift. And - so that Easter shift is that about a 200 basis point headwind suggesting a pretty nice sort of underlying sequential uptick?
Arne Haak: Yeah, it's about 70 basis points on the quarter. And so we're a little bit further along. But yeah, if you take it down to a month, yeah, it is a pretty good. It feels pretty good so far. That being said, let me just bring it, I am the CFO in the room, and this is - we're going up against our toughest comp quarter in sales last year. We were up nearly 3% last year. And in particularly, the back half of the second quarter, we have some pretty tough comps. So I think, like Mike, just like we feel about Hawaii, we are encouraged about the sales cadence, but we're also mindful that we got some tough comps to go against, but…
Brian Vaccaro: All right. That's helpful.
Arne Haak: …I could say, well, sales growth is what we really like.
Brian Vaccaro: Yeah, yeah, understood. Okay. And back to the question on mix, and I think the drag on the mix, if I recall due to the refresh on the Sizzle, Swizzle. And I think, we have maybe one more quarter, before we lap that, and so is it fair to expect sort of that mix headwind, if you will to start to dissipate maybe as we get into the second half of the year?
Arne Haak: Yeah, I would say you expect into slow, and I don't think it's a drag. I think, when we refresh our menu and in gross sales and people's preference is just moving around, I don't think about that as a drag, it's just, I guess, on modeling issue that you can't take the full flow through on price. But it's driving better entrée counts and more traffic and that's healthy. We like that.
Brian Vaccaro: Right. Understood. That's a good clarification on that. On the franchise comps, I - with it down 80 bps, was that, that's a fiscal comp, so should we be thinking about adjusting that for calendar as well? Or is that's what you read on…
Arne Haak: Yeah, that's the calendar comp there. It's really an international issue, there is some weakness in Asia, and then certain of our Canadian franchisees got hit pretty hard. It was a tough winter and they got hit really hard. And in addition, one of them had closed for a couple of weeks as part of a remodel on it and an expansion. So that's really what's weighing, it's an international comp sales is where the weakness is.
Brian Vaccaro: Okay. And then, on - sorry, go ahead.
Michael O'Donnell: You have to recognize that there are 19 international restaurants. And geopolitically, China has taken a position on tourism that affects both Hong Kong and all the restaurants in Taiwan. Our same franchisee has restaurants in both places. But it has felt significantly the change in direction in tourism by China.
Brian Vaccaro: All right. That's very helpful color. Thank you for that, Mike. And last one for me, Arne, on the advertising piece, I know, there's a lot of moving pieces with the accounting changes, but up 70 basis points. How much of that was due to the accounting change?
Arne Haak: Brian, let me see, I think, I have this here. Let me just make sure, I'm reading the right number, it's about $200,000 in the first quarter.
Brian Vaccaro: Okay, okay. And I guess, you mentioned an increase, a planned increase in spend. Can you help quantify sort of the magnitude of that spend or the number of weeks you're on air versus of air? Just any changes in how you're deploying those dollars?
Arne Haak: So it really comes down to what we talked about at the end of last year around reinvesting some of the tax savings. So we have about, and Mike talked briefly about this, at the front 20% to 30% of our tax savings here reinvesting into both marketing, brand and sales driving, and people initiatives. And so we're - for competitive reasons, we're not going to talk a whole lot about what we're doing. But we've always joked that the duck seems to be moving calmly across the lake, but were paddling like mad in below the surface. This is a little bit more of what we're doing below the surface to kind of keep our sales moving forward.
Brian Vaccaro: All right. Fair enough. Thank you.
Operator: Thank you. [Operator Instructions] We will now take our next question from Joshua Long of Piper Jaffray. Please go ahead.
Joshua Long: Great. Thank you for taking the questions. I wanted to see if we could circle back to the remodels that you've scheduled for 2018, I think, you mentioned 7 to 8. Curious, if you might be able to share kind of what different types or the different buckets of remodels that those might fall in? I know, historically, you've talked about the opportunity to add some square footage, maybe going and touch up restaurants. You got different ways you can go in and update those restaurants, but just curious, how that shapes up for 2018?
Cheryl Henry: Yes, we look at - I know Arne has talked about it before and we talk about having the buckets of whether it's capacity or brand or really maintenance. I think the group that we're looking at in 2018 there is not a lot of capacity options. There are some work around some of the bars and seeing if there is a potential to add fully dining seating in those. There are a lot of brand works here to bring up to the standards of 2.0 I'd say with this class of restaurants.
Joshua Long: Great. Thank you for that. And then, maybe from a CapEx perspective, Arne, in terms of thinking about remodels, contributing to the $29 million to $31 million in CapEx, how should we think about that as a breakout?
Arne Haak: It's been typically running anywhere between $8 million and $10 million a year on the remodel CapEx. So the only other thing I'd just throw in, yeah, there is a bunch - there is several California restaurants in there. There is some regulatory and compliance. So when we open up the restaurant, do a remodel, there is some lighting requirements that we're forced - that adds several hundred thousand dollars to each project and other compliance we have to put in to the remodel so. But $8 million to $10 million is kind of cadence we're looking for to invest in remodels each year.
Joshua Long: Great. Got it. And then, kind of the last one rounding that up, the 7 to 8, as you think about that as a pace, is it more about just being able to stage and get all the pieces lined up from an operational perspective? Is that a pace that could accelerate? Just how do you think about rolling that out operationally?
Arne Haak: I guess we spend a lot of time thinking about what to do with the capital that our business produces. And I think if a new restaurant opportunity presents itself that has the returns we're looking for, that is going to be a higher priority getting to our remodel list. I think we can select 8 to 10. That there - everyone is unique. It has to do - we don't want to really touch them in the fourth quarter. We want to be done in time for the peak holiday season, and then they kind of fit in around the new units. So, the thing that can kind of change it, the new development pace, if there are gaps we tend to do more remodels. If we tend to be busy building new units, we tend to kind of ease back on some of the remodels.
Joshua Long: Got it.
Michael O'Donnell: We're also beginning to see the opportunity for us to relocate restaurants. We've done that historically. It's done very well. We relocated Portland years ago. We relocated Houston. We have a number of other restaurants where leases are going to expire in markets that are attractive, but our locations are not as attractive. And so, I think you'll hear us starting to talk more about deploying capital into remodels…
Arne Haak: Relocations.
Michael O'Donnell: Relocations, I'm sorry. Arne, you're correct - into relocations. And we've seen that, and of course, when you're 50-some-odd years old, some of them - we looked at, at least the other day, that Ruth herself signed, and so, some of those restaurants, the markets just change. And so, you will start to hear in future calls about not just new restaurants, but in relocating in restaurants that we think will be highly profitable.
Joshua Long: Got it. That's very helpful. I appreciate that, Mike. In terms of thinking about maybe transitioning from remodels here, you mentioned individual store initiatives as well. So curious on kind of maybe the difference between those two, if that's - if the individual store initiatives are more kind of operational or specific goal focused. But anything you could share with us there in terms of how you're thinking about deploying some of those individual store initiatives?
Cheryl Henry: Yeah, I won't go into too many details for obvious reasons. But it's really to your point, it's a partnership between operations and marketing, and really getting local level deep on - one of the opportunities that might be specific to that market, so if it's a - it's a big convention market. For example, there are certain things we should - that would work there versus something that works differently in another market. So we have several of those identified. And we have a team that works really on the local marketing plans for those.
Joshua Long: Great. That's helpful. And, Arne, thinking about the flat to up low-single-digits calendar or 2Q to date on a calendar basis, any idea on what that would look like on a fiscal basis, as we just try to kind of spot things up with where consensus estimates were and kind of where expectations have been?
Arne Haak: Josh, when we follow-up with you today, let us give that to you then. I don't have it in front of me and I don't want to guess for you. Like I said, we - when we look at our business, we tend to be very focused around. We have a different approach on modeling, because we can see all the restaurants. And we tend to - when we think about our comp sales trends, we tend to look at them on a calendar basis. We don't spend a whole lot of time on the fiscal as part, but I understand its importance to you and from a modeling perspective.
Joshua Long: Got it. Thank you.
Operator: Thank you. [Operator Instructions] As there are no further questions in the queue, I would like to turn the call back to team for any additional or closing remarks.
Michael O'Donnell: Thanks, everybody, for joining us today in this morning's call. We're excited to be - we are excited to have been able to deliver the results that we had in the first quarter. And as always, it's a great day to go out and eat steak. And may the force be with you. Thank you.
Operator: Thank you. That will conclude today's Ruth's Hospitality Group First Quarter 2018 Earnings Conference Call. Thank you for your participation. Ladies and gentlemen, you may now disconnect.